Operator: Good day, ladies and gentlemen, and welcome to The9 Limited Fourth Quarter and Fiscal Year 2008 Financial Results Conference Call. My name is Anton and I will be your coordinator for today. At this time, all participants are in a listen only mode. We will be facilitating a question and answer session towards the end of today’s conference call. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s conference, Ms. Phyllis Sai, IR Manager of The9 Limited. Please proceed, ma’am.
Phyllis Sai: Thank you, operator. Hello, everyone, and thank you for joining us today for The9's fourth quarter and fiscal year 2008 financial results conference call. The management with me today are Ms. Xiaowei Chen, President, and Mr. George Lai, Chief Financial Officer. As always, I will start the call with a review of the Safe Harbor statement before our management begins their prepared remarks. During the course of today’s call, certain projections or forward-looking statements may be made regarding The9's future financial performance or future events. We wish to caution you that such statements or predictions are based on current information and expectations and actual results may differ materially from those projected in the forward-looking statements. We would also like to refer you to documents that the company filed with the United States Securities and Exchange Commission. Those documents contain additional information concerning factors that could cause actual results to differ materially from those contained in the management’s projections or forward-looking statements. Now we would like to begin with our President, Ms. Xiaowei Chen, who will give you an overview of our financial results and operational report for the quarter and fiscal year, followed by our Chief Financial Officer, Mr. George Lai, who will follow with a detailed discussion of our financials. Xiaowei?
Xiaowei Chen: Thank you, Phyllis. Good day and evening ladies and gentlemen. Thank you for participating in our discussion of The9’s fourth quarter and fiscal year 2008 results. 2008 was an eventful year both for China and the world. In China, in particular, the year started with a snowstorm that severely affected most of the coastal areas. In midyear, the Wenchuan earthquake struck as one of the most tragic disasters in Chinese history. In August, China proudly staged its first Olympic Games. TV viewership soared yet game player numbers decreased. And starting late September, we witnessed the financial crisis streaking across the globe. Despite all these events mentioned above, The9 closed the year 2008 with a strong financial performance. Our total net revenues increased 33% year over year to US $250.4 million. Our net income increased 45% year over year to US$51.1 million. And our earnings per ADS increased 44% year over year to US$1.84. We were able to achieve such results due to our intensified efforts to improve service to our players, aggressively promote our games in major cities as well as rural areas, to provide content most suited to local taste, and to strengthen the communications with our partners to provide the best gaining experience together to our players. We were able to achieve such results in a year and there were major negatively impacting factors in China and worldwide. We were able to achieve such results in a year when no new expansion of Blizzard Entertainment’s World of Warcraft was launched in China. In the year past, we not only reinforced our reputation as a partner of choice of leading worldwide game developers, but also further strengthened our proprietary game d development capability. In January 2009, The9 declared a special cash dividend. In early February we paid out $1.11 per share to our shareholders and the total dividend payment was approximately US$29.4 million. This is the first time in The9’s history that we have declined a special cash dividend. The payment of this special cash dividend is a significant return of value to our shareholders. We appreciate the support of our shareholders and believe that The9 will continue to provide solid long-term value for our shareholders. As another way of returning value to our shareholders, starting from November 2008, The9 has actively repurchased its shares from open markets. Up to February 20, 2009, we have spent approximately US$18.1 million on share repurchases. Now let me go over some highlights of our games operations during the fourth quarter. First of all, World of Warcraft. After more than one year since the launch of The Burning Crusade, Blizzard Entertainment’s phenomenal first expansion pack of World of Warcraft, the game continued to enjoy a strong momentum in the fourth quarter, achieving peak concurrent users or PCCU levels of approximately 1.02 million. The average concurrent users, APCU level in the fourth quarter increased approximately to 422,000. Average revenue per user hour or ARPU remained stable at RMB 43.1 [ph] cents, while the number of active users increased significantly by 49% from 6.1 million in the last quarter to 9.1 million in this quarter. The9 defines active users as the number of users who have spent money during the past three months. We launched the 10th site of Word of Warcraft on October 9, 2008, which has helped us attract more new players. We also launched Blizzard Entertainment’s Echoes of Doom content update for World of Warcraft on December 9, 2008. We saw World of Warcraft usage levels rebounded drastically and PCCU increased by over 13% and surpassed one million once again before the year-end. The launch of the Echoes of Doom contributed significantly to the increase in both the number of active users as well as PCCU. This again demonstrated the strong and lasting appeal of this classic game. Content update has consistently given a significant boost to player numbers. During the fourth quarter, we continued to offer various value-added services such as paid name change service, paid character splits, paid character transfer between them, and security token to protect game accounts. These value-added services were well received by players and we believe these value-added services will become drivers of future increase in our ARPU. On the marketing side, we continued with free trial promotion in selected sites during the fourth quarter. We believe this will continue to be an effective and efficient method to attract new players. We are also relatively expanding our ground promotion forces to further promote the game in local Internet cafes. At the beginning of 2008, we had 150 ground promotion personnel. By the end of 2008, we had 370, and we plan to further expand that number to 1200 by the end of 2009. Blizzard Entertainment’s second Word of Warcraft expansion, The Wrath of the Lich King, was released in other regions in last November. More than 2.8 million copies were sold in its first 24 hours of availability, making it the fastest selling PC game of all time. The Wrath of the Lich King was also awarded the most anticipated online game of the year in the Chinese Game Annual Forum held in January 2009. We are now actively preparing for its launch in China. Moving on to our item based games, Soul Of The Ultimate Nation or SUN and Granado Espada or GE. For SUN, we launched a new expansion pack, Darkness is Coming The Beginning of Shadow on November 22, 2008, and the next expansion pack Survival Following Quest [ph] is scheduled to be launched in the first quarter of this year. Following our sixth regional server site, Hunan [ph] based site, we believe more users will be attracted to the game, either content update and opening of new servers. In addition, we also commenced VIP clubs for some in February 2009. The BVIP club provides better services to players and gives certain personal items to players for free. We believe these exclusive privileges enjoyed by VIP players will increase the stickiness of the players and attract new players to the SUN. For GE, we launched new GE last November which has been a major improvement based on its predecessor. Though we closed the GE servers for seven days for the preparation of new GE’s transition, there has been a significant improvement in GE’s active users and paying users compared with last quarter. In addition, both SUN and GE were upgraded with holiday content during Christmas and Spring Festival. We believe these seasonal contents will enhance the quality of our games as well as improve interactions between players. On a combined basis, SUN and GE generated net revenue of 3.4 million in the fourth quarter, a decrease by 29% compared to the previous quarter. The decrease was due to SUN’s slide in paying users. SUN and GE in aggregate had approximately 1.8 million active accounts in the fourth quarter, of which 111,000 were active paying accounts. Both games have been operated for more than one year, bringing us net revenues of US$20.5 million during the year of 2008. Let me now update you on our preparational work for new game launches. We're looking very actively with EA for the launch of FIFA Online 2 in China. FIFA Online 2 is one of the top 10 anticipated online games in 2009 based on a recent research. We commenced second round closed beta test for the game on December 22, 2008, and upgraded the content according to feedbacks received from the players. Although the closed beta testing was conducted in a relatively small scale, we received very positive feedback from players. Compared to the previous version, FIFA Online 2 has significant enhancements, including richer content, smoother motions and more items to buy. FIFA Online 2 is the number one sports game in Korea internet cafes. Given the high quality of this game and the large number of football fans among online gamers, we believe FIFA Online 2 will be a very successful game in China. Atlantica is a 3D online time based MMORPG we licensed from NDOORS. The game was commercialized in Korea last year and has been well received by players as one of the top MMORPGs of the year. Atlantica was awarded the best overseas online games and China Joy 2008 and currently we are actively working with the developers to further localize the game for Chinese players. Audition 2, to better distinguish Audition 2 from various dancing games, we are working closely with the T3, our development partner of Audition 2 on further polishing the game. At the same time, we are entering the final stage for preparing the closed beta test for Audition 2. We believe Audition 2 will bring unmatched virtual dancing experienced to millions of Chinese players with featured social networking highly valued by dancing game players in China. Now let me talk about our proprietary game development. We are proactively strengthening our proprietary development capability. By the end of 2008, we had 240 people in our R&D center, representing an increase of 124% from the beginning of 2008. We will continue to enhance our R&D capability to talent recruitment as well as strategic investments in game studios in Korea and China. Our proprietary games Warriors of Fate Online is being prepared for the second round of closed beta test and is set for commercial launch in the middle of this year. In addition, we have five other proprietary games in progress, including 3-D, MMORPG, casual games and Web-based games. Going forward, we are trying to launch at least two to three proprietary games each year to further diversify The9’s games portfolio and revenue. Given our strong new game pipeline, strong performance of the existing games, and our continuous efforts in proprietary game development, we believe The9 is well positioned to leverage the tremendous growth of China's online game market. Now let me turn the call over to your George Lai, our CFO. George will provide you with a more detailed discussion on our fourth quarter and fiscal year 2008 financial results. George?
George Lai: Thank you, Chen and hi, everyone. I will now take you through an overview of our fourth quarter and fiscal year 2008 financial results. For the fourth quarter of 2008, The9 reported net revenues of 59.4 million, representing a slight decrease of 1% from 59.9 million in the third quarter 2008 and a slight decrease of 4% from 62.1 million in the fourth quarter of 2007. The slight decrease was primarily because of the decrease from revenue from SUN. For fiscal year 2008, total net revenues were 250.4 million, increased by 33% from 187.6 million in fiscal year 2007. The year over year increase was mainly due to revenue growth from Blizzard Entertainment’s World of Warcraft as well as the cumulative effect of revenues from the two new games launched during 2007, SUN and GE. In the fourth quarter, net revenues attributable to the operations of time based games, which included revenues from game playing time, merchandize and installation package sales, increased by 2% quarter over quarter and decreased by 2% year over year to 55.7 million. The increase in such revenue was mainly due to the rebound in concurrent user levels offset by the launch of Blizzard Entertainment’s Echoes Of Doom content available for World of Warcraft. For fiscal year 2008, revenues were 229 million, representing an increase of 33% from 172.8 million in fiscal year 2007. This year over year increase was mainly because of the continuing growth of players for w World of Warcraft. In this quarter, items based games SUN and GE in aggregate contributed net revenues of 3.4 million, representing a 29% decrease quarter over quarter, and a 40% decrease year over year. The decrease was mainly due to SUN’s decline in paying users. For fiscal year 2008, item based games SUN and GE in aggregate generated net revenues of 20.5 million, representing a 62% increase from 12.7 million, which mainly because full year revenue was recognized on SUN and GE in 2008 compared to the seven-month and two months in 2007 respectively. In the fourth quarter of 2008, gross profit margin was 44%, which remained relatively stable when compared with Q3 2000 of 44%. Gross profit margin for fiscal year 2008 was 46% improved by 1% from 45% for fiscal year 2007. In this quarter, operating expenses were 17.5 million, representing 16% increase from the previous quarter, and remained stable as the same period of last year. The sequential increase in operating expenses was mainly due to the following reasons. First of all, our continuous increase in product development expenses because of our recruitment and R&D expenses incurred by our consolidated game studios; secondly; we increased the sales and marketing expenses for the warm up of the upcoming launch of The Wrath of the Lich King and FIFA Online 2 and increase in current promotion for and channel expansion expense to penetrate into the second and third tier cities. Lastly general and administrative expenses were increased due to the increase in share-based compensation. For fiscal year 2008, operating expenses were 61.1 million, representing a 21% increase from fiscal year of 2007. This was mainly due to the increase in product development expenses and general and administrative expenses for the foregoing reasons. In this quarter, our share-based compensation was 2.3 million, increased by 29% from 1.8 million in last quarter, and we remained stable at 2. 3 million for the fourth quarter of 2007. The increase in share-based compensation was primarily due to the grant of share options and equity warrants in the fourth quarter of 2008. Share-based compensation for fiscal years 2008 of 7.6 million increased by 11% from 6.8 million from the fiscal year 2007. Interest income for this quarter was 2.2 million compared to 2.3 million in the last quarter and 2.7 million in the fourth quarter of 2007. The decrease in interest income was mainly due to reduction in net interest rate. For fiscal year 2008, interest income of 8.3 million increased by 12% compared to interest income of 7.4 million in fiscal year 2007. This was mainly due to increase in cash balances in 2008 compared with 2007, which offset the effect of reduction in net interest rate. Other expenses for this quarter were 0.2 million compared to other income of 1.6 million in last quarter, and other expenses of 2.5 million in the fourth quarter of 2007. The sequential difference was mainly because we received government subsidy of 1.8 million in last quarter, which was a one-off event. The year over year decrease in other expenses was mainly due to the decrease in foreign exchange loss. Fiscal year 2008 other expenses were 2.8 million compared to other expenses of 4.4 million in fiscal year 2007. Against this decrease was mainly due to the decrease in foreign exchange loss. Income tax expenses for this quarter was 0.2 million compared to a net of 0.9 million in the last quarter and income tax balance of 1.2 million in the fourth quarter of 2007. The effective tax rate for the fourth quarter is 2%. For fiscal year 2008, income tax expenses were 3.7 million with an effective income tax rate of 6%, compared to income tax expenses of 1.4 million with an effective income tax rate of 4% in fiscal year 2007. The change in effective tax rate was mainly due to deferral taxes reversal. In this quarter, we recognized an impairment loss of 3.5 million. The impairment loss in this quarter was related to our investment in Idea Corporation [ph], a game development company in Korea. The development progress of Idea is not satisfactory and therefore full impairment loss was recognized. Net income for this quarter was 6.5 million, which decreased by 55% from last quarter, and 48% from the fourth quarter of 2007. Net income for the fiscal year 2008 was 51.1 million represented a 45% increase year over year from 35.3 million for the fiscal year 2007 as a result of the cumulative effect of (inaudible). Fully diluted EPS in this quarter was $0.24 compared to $0.52 in last quarter and $0.43 for the fourth quarter of 2007. Fully diluted EPS per ADS for fiscal year 2008 was $1.84 compared to $1.28 in fiscal year 2007. In this quarter, non-GAAP adjusted net income was 15 million compared to that of 26 million in last quarter and 25.9 million for the same period of last year. For fiscal year 2008, non-GAAP adjusted net income was 101.6 million compared to that of 82.1 million for fiscal year 2007. On a per share basis, fully diluted non-GAAP adjusted net income per share for this quarter was $0.56 compared to $0.94 for the last quarter and $0.88 for the fourth quarter of 2007. For fiscal year 2008, fully diluted non-GAAP adjusted net income per share was $3.67 compared to $2.97 for fiscal year 2007. As of December 31, 2008, the company's total cash and cash equivalents and short-term investments were 325.5 million compared to 327.9 million as of September 30, 2008, and 324.7 million as of December 31, 2007. The quarter over quarter change is the net effect of cash received from sales of (inaudible) and cash payment on share repurchases. The year over year change is the net effect of cash received from sales of (inaudible) and cash payments, internationally defaulted payments, purchase of investments in equities invested and share repurchases. So thank you for listening to our presentation today. At this point, we will take questions. Thanks. Operator?
Operator: (Operator instructions). Your first question comes from the line of Jason Brueschke with Citigroup. Please proceed with your question.
Jason Brueschke – Citigroup: Thank you. Good morning Xiaowei and George. I have a couple of questions. I guess the standard question is, could you give us maybe an update on the status of the World of Warcraft contract renegotiations, and at this point do you have any great clarity on which quarter you plan to launch Wrath of the Lich King in China? My next question is could you also give us maybe a little bit more clarity or specificity around the commercial launch date for Audition 2 and FIFA Online 2? And my final question is, SUN declined pretty significant sequentially in the quarter despite what it appears to be some content expansion, could you maybe give us a little bit more color, do you expect this kind of a delay in maybe the positive response to some of those efforts and you announced you have some things like that the VIP club that will help, so I guess should we expect that Q4 for SUN is more of an aberration and it stabilizes and improves, or how should we be thinking about the trajectory of SUN? Thanks.
Xiaowei Chen: Okay. Thank you Jason for your questions. Number one, about update on renewal of the World of Warcraft license, at this point, we regret that we cannot disclose any detailed regarding that ongoing negotiation of the renewal. We will disclose details once a conclusion is reached and we appreciate your interest and understanding. Number two, launch of Wrath of Lich King, we are actively preparing for the localization of heart of Wrath of Lich King and the material has already been submitted for authorities to review. At this point we are working very actively to make every preparation possible from content to technical, and we hope to launch it as soon as possible. Number three question is about commercial launch timing of Audition 2. We expect to launch close beta of Audition 2 within the second quarter and we hope that the commercial launch will be closely following that. For FIFA Online 2, our team and EA Asia team and as well as the Neowiz Team are working very actively together. We just very successfully concluded our second closed beta. We hope that version for open beta will be ready by the end of March and we hope to launch that in the middle of April. That is our current schedule. For SUN, we hope that the new version that we're going to launch in Q2 will give SUN a significant lift. It is true that SUN’s performance in Q4 was the dissatisfactory to us and to our players and largely due to I think actually a consumption – a decrease in consumption of items, we hope that in the new version that we are going to launch in Q2, there will be a lot more saleable items and items that payers are interested. As well as the VIP club that we are starting right now, the idea of the VIP club is that we store those VIP players who spend above a certain amount of money in our games, we actually follow up with customers service agents and offer VIP services such as having their questions answered in a priority line, having their requests answered in a priority line, and rolling out items that are for VIP only, and these are not items that you buy with money, but these are items that symbolize the status of a VIP player. So this service of VIP cult member is rolled out to increase player stickiness. So both with new content and better service, we hope that SUN’s performance will continue to increase after last quarter's dissatisfactory performance.
Jason Brueschke – Citigroup: Great, if I may ask one follow question, the VIP club idea, it seems like it is something that you could, if it is successful apply to other games, and I think for example Xanda [ph] is pretty sophisticated in how they know who are their playing customers and they really proactively reach out to them. As we look out over 2009, is this something that we should maybe anticipate has just become part of the standard offering from The9 that you will definitely try to identify and maximize the revenue from the people who are paying for your various item bases games?
Xiaowei Chen: Very much so. Especially given the fact that the new games that we're launching in 2009, including FIFA Online 2, Audition 2, Atlantica and our own self developed games such (inaudible) or Warriors of Fate Online, are all item based games. I think the VIP club idea is actually an idea that we can apply across the spectrum of all of our item based games.
Jason Brueschke – Citigroup: Great thank you very much. I appreciate it.
Xiaowei Chen: Thank you Jason.
Operator: Your next question comes from the line of Paul Keung with Oppenheimer. Please proceed with your question.
Paul Keung – Oppenheimer: Hi, everyone. Just a couple of quick questions. Can you just share with us some of the investment in the Korean developer G10 pipeline in the next 12 to six months – I mean 12 to 16 months?
Xiaowei Chen: I'm sorry Paul. I am not sure if I completely got your questions, can we share investments our in G10 and T3?
Paul Keung – Oppenheimer: No, sorry. I mean the G10’s pipeline in the next 12 to 16 months?
Xiaowei Chen: G10’s pipeline? G10 is not a publicly listed company yet and although with our investments in that company, we hope to continue to support their development capabilities. What I can give you is a general description of that company's pipeline. I think the most important game that they are still developing G10 and T3 would be Audition 2. Our team and their team are working day and night on polishing the game for the final release for closed data in Q2. This is think is the top one priority for G10 and T3. Other than that, the company has a number of games in the pipeline. Some are MMORPG and some are casual, but all well destined we think for the Chinese market as well as the Korean market.
Paul Keung – Oppenheimer: Okay. I'm not sure if you have got the stats for the following questions, but if you can shed some color there, it would be great. Do you think you can let us know the mix between your players in tier 1 versus tier 2, tier 3 cities, getting those (inaudible) versus from home, students versus non-students in the fourth quarter?
Xiaowei Chen: Sure. Sorry Paul. Your voice is kind of muffled, but I am kind of guessing you are asking for the demographic spread in geographies and also internet cafes versus home?
Paul Keung – Oppenheimer: That's right.
Xiaowei Chen: Okay, thank you. So according to our currently data, in terms of geographic distribution, the proportion of users coming from first tier cities compared to those from second and third tier cities was 40 to 60. In other words about 40% come from first tier cities and about 60 come from second and third tier cities. And by first tier cities, we not mean Shanghai, Beijing and Guangzhou, but also include some of the biggest provincial capitals such as Nanjing (inaudible) Wuhan. In terms of – I'm sorry Paul? In terms of Internet cafes versus home and versus schools, we have – we don't have IP per se research from our own beta, because sometimes it is hard to distinguish IP from their addresses. However we do have a CNNIC report, so you can take it from the CNNIC report that says about 78% of people play at home and 42% play at Internet cafes and 35% of people access from school. Obviously, they add up more than 100%, because people sometimes use computers or surf online in various places, so that is 78 homes, 42 Internet cafes, and 35 school. Hope that answered your question, Paul?
Paul Keung – Oppenheimer: Okay, thank you.
Xiaowei Chen: Sure.
Operator: Your next question comes from the line of C. Ming Zhao with Susquehanna International Group. Please proceed with your question.
Chung – Susquehanna International Group: Good morning. This is Chung [ph] calling in for Ming. Our question is on the monetization of the FIFA Online 2. Can you provide some detail what types of virtual item will be sold and at what price level? Thank you.
Xiaowei Chen: This is a great question. At this point, I'm not sure if we absolutely want to release this kind of information before we go into open beta and also commercialization. What I can assure you is that it is an item based game and we our operational team on the ground have based both on their experience and the user feedback and have been continuing doing development requests to Neowiz team in order to develop game items and also game functions that are most popular in China.
Chung – Susquehanna International Group: Okay, thank you.
Xiaowei Chen: And sorry, and another things that we have been basing on is, the Neowiz team has been very unselfishly sharing experience based in Korea which is also an item based game in Korea and has been fantastically popular and successful in Korea. So at this point what I can tell you is we have been facing on both our experience and the Neowiz team’s experience in Korea in developing we hope the selling items for Chinese not only game fan but also sports fans.
Chung – Susquehanna International Group: Thank you.
Operator: Your next question comes from the line of Andrey Glukhov with Brean Murray. Please proceed with your question.
Andrey Glukhov – Brean Murray:
Xiaowei Chen: Andrey, thanks for the question. Number one, I cannot implicitly agree with you that it looks like we are launching Wrath of Lich King in Q2. The launch date of Wrath of Lich King has not been determined yet at this point and I regret that I cannot give you a specific date at this point. It is not scheduled for Q2 at this point either. In terms of why we cranked up the dial on increasing sales and marketing in Q4, actually we cranked up the dial very strongly especially in the area of increasing the ground promotion forces. If you remember, we by the end of the year, we had 370 ground promotion forces, and that more than doubled from the point when I entered The9 back in May of 2008. So in less than half a year, we more than doubled the personnel in ground promotion forces as well as their training and monitoring systems to monitor the effect of their ground promotion. And going over in 2009, we further look to triple or more than triple that number to close to 1200 by end of 2009. And so a lot of the preparation work has to be done starting even Q3 and Q4 for the increase of personnel numbers since the monitor system has to be in, the training system has to be in. Over and over – so the increase in sales and marketing, some of it was for Wrath of Lich King, but in Q4 especially, the majority of it was just for keeping up our ground promotion system, and it is something that you have to do all along the year and continue to do in 2009. What we have observed is that, the game we have now, World of Warcraft is such a big brand game that advertising can only do so much, and especially in coming 2009, games such as FIFA Online 2 and Audition 2 all have well recognized brand awareness in China. We think that the key thing actually to attract new users for both happened Wrath of Lich King and as well as FIFA and also Audition 2 is not necessarily just advertisement, but actually providing access to players, whether he or she is in a big city like Shanghai or in a rural village, to provide access to them in the point in the sense of getting access to their local Internet cafe or even teaching the players in local rural areas how to play, and for that you really need a strong and will trained ground promotion force.
Andrey Glukhov – Brean Murray: Okay, that helps.
Xiaowei Chen: I hope I – okay. Thank you, Andrey.
Andrey Glukhov – Brean Murray: And just one follow-up if I may, historically, do you have any games that tend to have weaker seasonality in Q3 and Q1, what – and your reason to think that in Q1 09 that will not be the case or are your basically seeing the usage fairly consistent with historical patterns?
Xiaowei Chen: Because we do not give out guidance, we at this point cannot provide you any guidance on games performance in Q1, but you're right. Skill based games generally have seasonality impact more severe than nonskill based games, and we saw that in Q3, when Olympics was going on and then the students were at home from summer vacations. But at this point I regret not being able to provide you with any Q1 guidance.
Andrey Glukhov – Brean Murray: All right thanks Xiaowei.
Xiaowei Chen: Thank you.
Operator: Your next question comes from the line of Dick Wei with JP Morgan. Please proceed with your question.
Dick Wei – JP Morgan: Hi, morning Xiaowei and George. Thanks for taking my questions. I have two quick questions. First of all, what is the plan for your research and development team, I guess now it is around 240 people by the end of 2008, what is the expectation for 2009 and how many games do you expect to be by the end of the year? And the second question is on your dividend plans, any further dividend payout that the management is considering? Thanks.
Xiaowei Chen: Thank you Dick. I will let George handle these questions.
George Lai: Okay. For the R&D headcount, we expect that by the end of this year we hope that the number will be increased to more than 300 people. And so the second question, can you say that again?
Dick Wei – JP Morgan: For the first question, how many games development teams or how many projects would that 300 people be?
George Lai: They are now working in five games and developing different games like MMORPG and both 2D and 3D and also couple of casual games and also web-based games.
Dick Wei – JP Morgan: And does the management has a dividend plan, upcoming dividend plans?
George Lai: We believe that the special cash dividend we declared in January is a one-time event. So currently we don't have any plans for further accretion of dividend.
Dick Wei – JP Morgan: Okay.
Xiaowei Chen: Dick, just to follow up on your R&D question, the question you asked about our headcount in our R&D department, that is 100% The9. However, in addition though, I would like to, maybe it is related to your question to bring to your attention that we have made investments in both China and Korea of the development companies where wee hold a minority share. However we do have licensing agreements with these companies when their products are developed and so they don't add into our headcount is, but they also add into our game pipeline.
Dick Wei – JP Morgan: Right, that makes sense. Thanks.
Operator: Your next question comes from the line of Wallace Cheung with Credit Suisse. Please proceed with your question.
Wallace Cheung – Credit Suisse: Hi, good morning, Xiaowei and George, and thanks for taking my questions. And two questions, number one, again on the FIFA Online monetization, can you give us some better idea in terms of the type of the version items sold in that version in China regarding like percentage of items from decorated type items or functional type items, as well as do you any other kind of value-added service like being sold in game bars? Second question is, I think there is a partnership item called prepayment for equipment and in this quarter 2008 fourth quarter, it seems like show up to 46.5 million R&D and actually in last three, four quarters, actually have been going up every single quarter, can you explain a bit more why, is it forward (inaudible) preparation? Thank you?
Xiaowei Chen: I'm sorry, Wallace. I am not sure if I got your second question at all. Could you repeat your second question?
Wallace Cheung – Credit Suisse: Okay. There is a balance sheet item called prepayment for equipment in the fixed asset side.
Xiaowei Chen: In the what?
Wallace Cheung – Credit Suisse: In the fixed assets, long term asset category, just right under the…
Xiaowei Chen: Okay, understood. I am sorry.
Wallace Cheung – Credit Suisse: Every quarter it has gotten up and fourth quarter you have got a (inaudible)?
Xiaowei Chen: Yes. I will let George handle… yes, George got the question. I'm sorry, I got a little mixed up because first you were talking about FIFA Online item and then you talked about an item in the balance sheet.
Wallace Cheung – Credit Suisse: Yes, they are two questions.
Xiaowei Chen: I mixed them into the same kind of item. Okay, hold on. In terms of FIFA Online 2, most of our items that we prepare to sell are largely functional. They would improve the performance of the football players or the football managers, the way that they manage a team. So they are less the decorational than functional. In terms of the second question, I'll hand it to George.
George Lai: Yes, Wallace. The payments for the payments referred to our prepayment for the purchase of servers relating to the upcoming launch of Wrath of Lich King, and also that FIFA Online 2. And the reason why it is classified under current asset is because that’s the prepayment for fixed assets. So the category will be located and evaluated in fixed assets.
Wallace Cheung – Credit Suisse: Okay. So regarding the second question, should we assume that all these kind of equipment payments are already fully paid, so it is kind of already factored into your income, expanded demanded on these two games in terms of user level?
George Lai: Yes, you are right. These are based on the expected level to design how many servers or which type of servers we want to purchase, and then we need to pay for that, because most of the servers are very sophisticated and we need to pay for the equipment, and we need to order those servers and pay for that upfront.
Wallace Cheung – Credit Suisse: Okay. Thank you very much.
Operator: Your next question comes from the line of Paul Wuh with Nomura International. Please proceed with your question.
Paul Wuh – Nomura International: Hi, thank you very much. I have several questions. First you have this impairment charge in the fourth quarter. I was wondering if you could provide more detail about this company and also if there are any more additional impairments left related to this company. And my second question is related to fourth-quarter revenues, if you add up the two in your press release on both the item based and time based, there’s still a difference of about 24 million RMB, I wanted to know is that all related to the value added services or is there something I'm missing?
Xiaowei Chen: I will talk about the impairment and I will let George handle your second question. The investment that we make in Idea, which was a Korean company, was due to strategic reasons. At that time, we got to know that they were developing a game which could become a good hit game in China as well as it could be a very strong competitor to – I'm sorry, as well as it could very well complement one of our games in our pipeline. And by the time we made the investment, the game was actually very popular and licensed to some other country, which gives confidence. And unfortunately, the game based faced strong technical and game design issues, and it was delayed significantly, which caused serious financial difficulties for the company Idea. So upon situational analysis, we decided not to invest further in that company, and that company now is only surviving to take and going after further financing and licensing. And at this point, all 3.5 million US dollars has been written off and there will not be any future further write offs. I will let George handle the second question.
George Lai: You're right. The difference that you calculate that is mainly due to the value-added services.
Paul Wuh – Nomura International: And could you –
Xiaowei Chen: Yes. I was just going to tell you if you would like to see what value-added services are, there are paid character list, which means some accounts may have more than one character, and players can take and move any character to a new account under the same ID. There's also paid character transfer, meaning players can transfer the character between them or server site. And for competitive reasons, I hope you understand that we will not further specify and give you more details on what paid services are and what we are planning in the future.
Paul Wuh – Nomura International: Okay. And my final question is what is your planned tax rate for 2009?
Xiaowei Chen: I will let George handle that.
George Lai: Our effective tax rate in 2008 is 6%, which is much lower than our statutory tax rate because of our tax spending. And looking at 2009, we expect a slight increase in the effective tax rate, because some of our companies have already used up their tax holidays. But as I mentioned last quarter, we are still checking with the TLC [ph] tax authority for audited results and taxable actually if it is changing. So at this point in time I cannot give you an exact amount of expected effective tax rate in 2009.
Paul Wuh – Nomura International: And finally what is your CapEx – do you have any CapEx ideas for 2009, could be more or less than 2008?
George Lai: Yes. I believe it will be similar to 2008 because of the servers purchased I think it will be increased according to our PCU levels which is kind of similar to our 2008 after the launch of Burning Crusade. And for other new games, the cost of servers relatively will be less expensive than we are forecasting due to the different nature of the games.
Paul Wuh – Nomura International: Okay. Thank you so much.
George Lai: Sure.
Operator: (Operator instructions). Thank you. Your next question comes from the line of Adam Krejcik with Roth Capital Partners. Please proceed with your question.
Adam Krejcik – Roth Capital Partners: Yes, thank you for taking my questions. On the operating expense structure, it seems to be increasing fairly significant each quarter. I was wondering just from a top-level perspective, as you look to 2009, should we expect this trend to continue, and perhaps asked another way, is there any line item among product development, sales and marketing and G&A, where you could possibly reduce operating expenses? Thanks.
Xiaowei Chen: Thank you, Adam. I will let George handle the question.
George Lai: Okay. And we just to give you a very high level idea, we do not give guidance. For R&D expenses, we expect the increase would be – have a similar trend compared to 2008, because this is an opportunity to increase our R&D efforts. And for marketing expenses, we also expect a increase because of the upcoming promotion relating to all the new games that we're going to launch, and we will definitely try our best to have cost savings on G&A expense, and we do not expect that G&A expense will increase going forward. Actually , this quarter G&A expense increased mainly due to the non-cash share based compensation. So actually if you take out that factor, the G&A expense has always been kind of constant in our P&L.
Adam Krejcik – Roth Capital Partners: Okay, that is helpful. Thanks a lot.
Operator: Your next question comes from the line of James Lee with Sterne, Agee Capital Markets. Please proceed with your question.
James Lee – Sterne, Agee Capital Markets: Xiaowei, I was wondering can you maybe give some color on your studio investments? I'm just curious that currently are you evaluating any opportunity with those kinds of investments, or are you kind of happy the way you're right now? And also it would be helpful if you can talk about what you seeing out there in terms of supply of quality studios and what are sort of priorities you're looking at when you are evaluating studio/developer, and I'm curious with all those projects, what is his or her background in terms of leading this kind of high risk/ highs reward type of propositions? Thanks.
Xiaowei Chen: Thank you, James. We have been very actively looking for investments into game developments studios. Last year, we made see altogether four investments, not counting the significant one that we made, nearly 40 million in G10/T3 in Korea, which is in and of itself an investment into game developments studio. We also invested in one team in (inaudible) and another team in Nanjing, and another Korean-based team. So altogether we have made four investments and we expect the pace to not slowdown, potentially even pick up further in 2009. We think that proprietary game development include two aspects. One is what we're doing here at The9, which is to build up our own R&D center, increasing the headcount like as George was saying, and developing six games in that pipeline. But very importantly, I think we look into investing into strong solid development studios. And you're right, it is always a very, very difficult selection process. We think that the most important criteria is actually not only the development capabilities of the developers themselves, but the way that they can manage their own company, so that solid operational and management capabilities, so that you ensure not only this company's development products is well on the track in terms of quality, but also they don't years later mismanage themselves into solvency. So ultimately what we really look for is a team that we feel that not only has the talent to develop a game, but also have has the discipline to manage themselves.
James Lee – Sterne, Agee Capital Markets: Can you give us a sense as to who is leading that effort in terms of evaluating the talent out there in terms of studios and developers and what is his or her background? Are you personally involved in that process, or is it maybe a committee that at the senior management level that is looking at it, or do you do have a dedicated person that is really looking at that kind of investment?
Xiaowei Chen: We have several dedicated personnel who are going and searching for companies and also investment banks sometimes bring these companies to our attention. So on the ground level, we have people who are in charge of BD going out to search for these companies and people were in charge of doing BD to do a thorough investigation of these potential investment targets, and then I am personally involved myself in terms of looking over these companies portfolio, and also we have a committee that finally approves such investment decisions.
James Lee – Sterne, Agee Capital Markets: Okay great. Thank you.
Xiaowei Chen: Thank you.
Operator: Your next question comes from the line of Atul Bagga with ThinkEquity. Please proceed with your question.
Atul Bagga – ThinkEquity: Hi guys. Thanks for taking my call. Couple of very quick questions for you guys, I wanted to follow upon on Adams question, I know you guys will not share your guidance, or you would not give the guidance for Q1 of 2009, but mainly on a high level, if you can share what are the targets for your operating margin level for short term, mid-term, long-term? I mean do you think operating margins would be going back to about 20%, 25% level any time soon as? And B, very quick on if you could share any thoughts on the economy and how it might be impacting gaming business overall, I mean do you assign part of your weakness in SUN to the economy or maybe if you can share what you are seeing so far in January and February? Thank you.
Xiaowei Chen: Hi, Atul. Thanks for your questions. In terms of operating margin, I don't think we ever had operating margins in the 20s. I think that the operating margins that George just shared with you both for this year and last year all ranged in the 40s, mid-40s, gross profit margin, right. So but in terms of our – even though we don't give out guidance, I can give you a rough outline. I think for 2009, what we can expect is with the new games, and the new games that are highly anticipated by players all over China, including Wrath of Lich King, we can treat it as new content, and also sees FIFA Online 2 and Audition 2, we expect our revenue to significantly pick up, especially after around mid year. However in the meantime, before that, we need to spend a significant amount on marketing as well as the throughout the year efforts in building up sales and marketing activities, especially in ground promotion. I'm sorry, I forgot your second question.
Atul Bagga – ThinkEquity: My second question was about the impact of the economy, have you seen any weakness because of the economy, and maybe if you can – the part of the weakness in SUN, do you assign it to the economy or maybe if you can share what you have seen so far in January and February?
Xiaowei Chen: We think that by the end of the last quarter – let me give you while actually performance significantly increased when we launched Echoes of Doom or what we in China call the version 3.0. So that certainly did not go down with the economy starting to go southwards at late Q4. I think SUN was one-off incident because GE’s performance also significantly improved in Q4 compared to Q3. so I would argue that both our World of Warcraft and GE actually improved this performance in Q4. SUN I think it was largely due to a lack of sellable items during Q4 and we are very actively working with the developer partner to try to fix that and upgrade our content and items in Q1 and Q2. In the larger scale, people often ask about the impact of the economy on games. So far we have not observed any significant negative impact on games by the economic downturn. And however I think that in the entire global downturn, we all need to watch out for various factors that could sooner or later hit every industry, and for a gaming industry, what we are actively doing is to freshly upgrade our content as well as going out very aggressively to recruit new players as well as new talent. I think this is a good opportunity for a lot of us in the gaming industry as more new talent, both either graduates from school or coming from other industry, I think this is a very good opportunity for us to absorb new blood. Did I answer your question?
Operator: Your next question comes from the line of Wendy Huang with RBS. Please proceed with your question.
Wendy Huang – RBS: Hi, just a couple of housekeeping questions, first could you share some initial feedback from the closed beta testing of the FIFA Online and how many testing accounts have you distributed?
Xiaowei Chen: Thank you, Wendy. Our FIFA Online 2 second closed beta testing was conducted on December 22, and although it was a very small scale testing, it received very positive feedback from our players. At that time, we had two groups of servers open and about 3000 to 5000 people playing at the same time. And what we had received in results is that, number one, the version that we tested was technically very stable and for the first time also we used P2P technology, so that it occupied actually less bandwidth than conventional technology, and that appeared to be very popular, and we hope that in ongoing operations when we launch a game after open beta and in mass scale, it will also become cost savings too. And the closed beta testing also gave us good experience in how we should set up a large-scale server gates for open beta. And content wise, the user feedback was very positive. So technically and content wise, it was a very good closed beta test. Thanks.
Wendy Huang – RBS: And could you clarify whether this quarter’s impairment charges relates to the G10 or another Korean developer you had invested in?
Xiaowei Chen: No. As I related in the previous question, the current impairment charge of 3.5 million was completely due to one company in Korea called Idea, and it was not related to G10 or T3. And I wish to clarify this one more time. Maybe that was what somebody had in their mind when he asked about the pipeline of the G10 and T3. These are two completely separate companies. Our investment in G10 and T3 are going well and we strongly believe in their products. We saw the most recent version of Audition 2 and are very happy with it. Idea was a separate company that we invested also last year. It was in 2007 or last year?
George Lai: Q1 of 2008.
Xiaowei Chen: Yes, last year. And it was a company that we invested when we repeat we thought it had a very good product, and we also thought it would complement one of our products in our pipeline very well. And at the time when we made the investment, they already succeeded in licensing a game, licensing their game in development to another country, so that gave us confidence. But unfortunately the game company faced very strong technical and game design issues. So the launch was delayed significantly and the company in turn went into financial difficulties. And upon our own analysis, we decided to write it off. And this goes back to the previous question that James asked, what we see? We actually learned from what we have done, so when we make investments, we look for companies that are not only good at developing games, but also have strong discipline in their own financial management.
Wendy Huang – RBS: Okay, that's very helpful. And lastly could you repeat the APUs for World of Warcraft in the fourth quarter, where they came in?
Xiaowei Chen: George? I think it was 442,000?
Wendy Huang – RBS: Okay.
Xiaowei Chen: Sorry, 422,000.
Operator: This concludes the question-and-answer portion of today's call. I would now like to turn the call back over to Phyllis Sai for closing remarks.
Phyllis Sai: We would like to thank you all for participating in today's call. Please feel free to contact us with additional questions. Thank you.
Operator: Thank you for your participation in today's conference call. This concludes the presentation. You may now disconnect. Good day.